Operator: Good morning, and welcome to the Allegheny Technologies, Inc. Second Quarter 2016 Results Conference Call. I will now like to turn the conference call over to Dan Greenfield, Vice President of Investor Relations and Corporate Communications. Please go ahead.
Danny L. Greenfield - Vice President, Investor Relations and Corporate Communications: Thank you, Keith. Good morning, and welcome to the Allegheny Technologies conference call for the second quarter of 2016. This conference call is being broadcast on our website at www.atimetals.com. Members of the media have been invited to listen to this call. Participating in the call today are Rich Harshman, Chairman, President and Chief Executive Officer and Pat DeCourcy, Senior Vice President of Finance and Chief Financial Officer. All references to net income, net loss or earnings in this conference call, mean net income, net loss or earnings attributable to ATI. If you have connected to this call via the Internet, you should see slides on your screen. For those who have dialed in slides are available on our website www.atimetals.com. After some initial comments we will answer the questions. During the question- and-answer session, please limit yourself to two questions to be considerate of others on the line. As always we will make every attempt to reach everyone in the question and answer queue within the allotted conference call time. Please note that our forward looking statements this morning are subject to various assumptions and caveats as noted in the earnings release and on the slide. Actual results may differ materially. Here is Rich Harshman.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Thank you, Dan. Good morning to everyone on the call or listening on the Internet. Second quarter results demonstrates steady improvement towards reaching our 2016 Operating Profit Outlook. Which is we expect our High Performance Materials and Components Segment operating profit as a percent of sales to return to low double digit levels in the second half of 2016. We continue to believe that our Flat-Rolled Products segment will return to a modest level of profitability in the 2016 fourth quarter. High Performance Materials and Components Segment operating profit improved by 33% compared to the first quarter and reached 8% of segment sales primarily due to a better mix of next generation mill products and increased demand for jet engine forged parts. Our high performing materials and components segment is well positioned for profitable growth over the next five years driven primarily by strong and growing demand in commercial aerospace. Flat-Rolled Products segment operating loss improved by over 70% compared to the first quarter. First half segment performance was impacted by non-recurring costs due to the work stoppage, which ended in mid-March, and costs associated with the idling of our commodity stainless facility in Midland, PA, and our grain-oriented electrical steel operations. Flat-Rolled Products operating performance improved throughout the second quarter. By June, operating productivity had reached near-normal levels and we are seeing continued improvement during July. We've made some tough decisions to return this segment to sustainable profitability and we will continue to do so. Our strategy is to reposition and restructure our Flat-Rolled Products business to be a leaner, more cost efficient business that is more focused on differentiated products that have higher technical barriers to entry and serve markets that are global with attractive long term growth prospects. Finally our liquidity position improved during the second quarter and Pat DeCourcy will provide some details in a few minutes. Turning to slide four, the commercial aerospace ramp is upon us. For all of ATI first half 2016 sales to the Aerospace and Defense market reached 51% of total ATI sales compared to 41% of sales for the full year of 2015. Jet engines accounted for 28% of sales. Air frame represented 16% of sales, and sales to government, aerospace and defense were 7% of sales. As expected demand from the oil and gas, chemical and hydrocarbon processing industry markets remained weak. Turning to slide five looking at the high performance materials and components segment, second quarter segment results showed sequential improvement with sales of $498 million and operating profit of 8% of sales. Demand from the Aerospace and Defense market continues to drive high performance results accounting for 73% of segment sales. Sales to the medical market increased 8% and sales to the electrical energy market increased 4%, both compared to the first quarter of 2016. Market conditions remain challenging in the oil and gas and construction and mining equipment markets. We recognized an additional $1 million severance charge in the second quarter, which is excluded from segment results as we continued to streamline our high performance materials and components operations. While our aerospace specialty materials and forging operations are performing well, the segment faces some challenges. We are making progress improving productivity and streamlining the manufacturing flow path at our titanium investment casting operations. As previously mentioned, demand for our investment castings from the Aerospace market ramped dramatically earlier this year just as we were bringing on new capacity. We have taken actions to improve planning, drive flow and reduce cycle times and cost and we expect operations to continue to improve throughout the second half of 2016. In our forged products business, we must fill the non jet engine forging capacity that is under-utilized due to weak demand from the construction and mining equipment and oil and gas markets. We're making progress and have won additional air frame and jet engine parts and are working on new industrial opportunities. Finally, segment results continued to be negatively impact by high production costs totaling $9 million in the second quarter, due to low operating rates at our Rowley, Utah titanium sponge facility. We are evaluating options to reduce this negative impact. Turning to slide six, and our Flat-Rolled Products segment, the transition to a smaller, more agile, efficient and profitable Flat-Rolled Products business requires tough decisions. As we have said many times, we believe in US Manufacturing. However, we know it is difficult for a US manufacturer to compete in global commodity markets, particularly when significant global overcapacity exists in such products as Commodity Stainless Sheet. In the second quarter of 2016, Flat-Rolled Products segment sales were $312 million, an 18% increase compared to the first quarter of 2016. With the end of the work stoppage in mid-March the segment operating loss decreased more than 70% to $32 million in the second quarter compared to a loss of $110 million in the first quarter of 2016. Improved operating performance and lower non-recurring costs were the primary drivers of the quarterly results with higher shipments across all major product categories. Second quarter segment results include approximately $22 million in non-recurring costs related to higher cost material produced prior to the work stoppage and temporarily higher conversion costs during the return to more normal operating levels. Flat-Rolled Products results benefited during the second quarter of 2016 from favorable foreign currency adjustments on fair value hedges. In addition, demand from the automotive market was strong, mostly due to a secular shift that requires nickel-based alloys and specialty alloy products to meet hotter temperature environment in turbo-charged engines. Demand from the Aerospace markets was solid. We are making progress in signing agreements and qualifying new nickel-based alloy and titanium and titanium- alloy products that benefit from the capabilities of our Hot Rolling and Processing Facility. Most of the disruption and resultant cost from the idling of the Midland facilities and the GOES Finishing Facility and from the work stoppage are now behind us. Our Midland PA commodities Stainless Steel Melt Shop and Sheet Finishing Facility as well as our GOES operations are now completely idled. Our USW represented employees returned to work during the last few weeks of the first quarter. Operating efficiencies steadily improved during the second quarter and by the end of June our operations were back to near normal operating efficiency. The actions we have taken and any additional actions we may take in the future are designed to return our Flat-Rolled Products business to profitability and position the business for sustainable profitable growth. Finally, on July 12 the Commerce Department made the preliminary determination in the countervailing duty investigation for stainless steel sheet and strip shipments from China. The preliminary margins calculated by the Commerce Department are 57% and 193%. The final CVD determination is expected to be made on or about January 30, 2017. US Customs and Border Protection will now require US importers to post estimated countervailing duties on imports from China at these preliminary CVD rates. This should act as a significant deterrent to dumping of Chinese government subsidized imports of stainless steel sheets and strip into the United States. We have reduced our exposure to commodity stainless steel sheet and strip to approximately 100,000 tons of capacity. Our strategy is to have a cost structure that ensures these commodity products are profitable on a fully allocated cost basis and not just a contribution margin basis. Now I'd like to ask Pat DeCourcy, ATI's Chief Financial Officer to discuss the second quarter. Pat?
Patrick J. DeCourcy - Chief Financial Officer & Senior VP-Finance: Thanks, Rich. Turning to slide seven. We reported second quarter 2016 sales of $811 million and a net loss attributable to ATI of $19 million or $0.18 per share. ATI's second quarter results reflect an above normal income tax rate benefit of 63% decreasing ATI's net loss by $11 million or $0.11 per share compared to a standard US federal 35% tax rate. Results improved substantially from the first quarter 2016. At June 30, 2016 cash on hand was $322 million and available additional liquidity under our asset based lending agreement was approximately $325 million. We borrowed $100 million through an 18-month term loan under our ABL facility during the second quarter. Cash provided by operating activities was $28 million in the second quarter of 2016. Managed working capital increased $12 million in the second quarter, but decreased as a percentage of annualized sales due to increasing business volumes. Cash generation from operations remains a key focus. During the second quarter of 2016, we pre actively addressed upcoming pension funding requirements by issuing $288 million of six-year convertible debt. We made an initial $115 million contribution to our US defined benefit pension plan in July 2016, and we expect to use additional proceeds from this debt issuance to meet 2017 pension funding requirements. Turning to slide eight. We have taken several actions to reduce our defined benefit pension and post-retirement medical expenses. As stated in previous slides, we proactively addressed upcoming pension funding requirements by issuing $288 million of six-year convertible debt and made a $115 million contribution to our U.S. defined benefit pension plan in July 2016. In 2014, we froze all future benefit growth in ATI's defined benefit pension plan for non-represented employees and changed to a modern retirement benefit structure with a market competitive defined contribution retirement plan. We also took actions to end all remaining retiree life insurance benefits and retiree medical benefits assumed in the 2011 Ladish acquisition for non-represented employees. With the new 2016 USW contract, we now have a freeze to new entrants to ATI's defined benefit pension plan for these represented employees who will have a modern retirement benefit structure and market-competitive defined contribution retirement plan. New hires under the RFP USW contract will also receive a cost-competitive and cost-certain defined contribution plan rather than receiving retiree healthcare benefits. In addition to our ongoing effort to limit the growth of retirement benefit liabilities, we are actively evaluating proactive pension liability management strategies. For example, we are evaluating annuity buy outs of smaller-balanced pension participants, which would help lower the burden of significantly escalating premium charges from the PBGC. We are also evaluating the benefit of a voluntary pension contribution, as well as the potential to shift the investment of pension trust assets to more closely match expected changes in the value of pension liabilities. We remain committed to our long-term strategy of getting out of the defined benefit pension business. Moving to slide nine. We expect 2016 capital expenditures to be less than the $240 million, which was our original budget. We now expect full year 2016 CapEx to come in at approximately $220 million. $145 million was invested in the first half 2016, over half of which was related to the completion of the Hot Rolling and Processing facility or HRPF. The second largest capital expenditure in the first half was for our new nickel-based super alloy powder facility currently under construction in North Carolina. Looking at the second half 2016, we expect approximately $75 million to be spent on capital expenditures with $19 million of that being related to our STAL joint venture expansion project which will be funded by cash on hand at the JV. Depreciation and amortization expense for 2016 is forecasted to be approximately $176 million. We are at the end of our extraordinary capital expenditure cycle that has transformed and modernized ATI. Beyond 2016, we expect capital expenditures to be less than $100 million annually for the next several years. Now I'll return the call back over to Rich.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Okay. Thank you, Pat. I've attended the Farnborough or Paris air shows over the last eight years. During this timeframe, the show has featured the introduction of new planes and new engines. The Airbus A380, The Boeing 787, the Airbus A350, then the single aisle 737 MAX and the A320 NEO, and several new engine platforms. This year's air show had a different focus. Our many meetings with customers centered almost exclusively on execution and the need for our operations to support the demand of this unprecedented build rate ramp of new airplanes and new engines. Our customers expect us to be ready to support the significant ramp up of the next generation programs without interruption. This is our commitment and our plan. They continue to seek us out to help with their risk mitigation and diversification of supply base and challenge us regarding the availability of surge capacity. ATI is well-positioned. We have made the investments in new capacity and new capabilities that are qualified to support this forecasted production rate ramp. ATI is considered a technology leader in the products that we make. And while we have a few challenges that we will resolve, we have earned the reputation as a reliable supplier, capable of meeting the emergent demand needs of our strategic customers. The OEMs are also looking to the integrated suppliers for cost reductions which we believe we can meet through innovation of more downstream, near net-shaped products and shared cost reductions through the acceptance of new and better alloys or improved streamlined manufacturing process changes. We also know the future. We have regular technical exchange meetings with our strategic customers and are working together on future generation products such as new products for hotter and bigger jet engines, nickel-based superalloy and titanium alloy powders for parts and components including those made through additive manufacturing technologies, and we're also qualifying wider and flatter nickel based alloy and titanium alloy sheet strip and plate products that are made possibly by our Flat-Rolled Products HRPF capabilities. The next generation rate ramp has begun. Slide 11 depicts how we view this aerospace cycle. The white area shows the number of Legacy engines. Our products here include such well known alloys as ATI 718 nickel-based superalloy and ATI 64 titanium alloys. As shown on the slide beginning in 2016, there is a more pronounced growth in the spread between the declining demand for Legacy products to the growing demand for the next generation products. The green area shows the number of next generation engines. Our differentiated products here include proprietary and unique alloys as well as products including forged and cast parts, which few others can make. This slide demonstrates the significant mix shift in our backlog and production schedules. We saw that mix shift begin in the first half of 2016 with the growth and demand of next generation mill products including powder and new forgings and castings. To produce these next generation products we have a unique set of assets and capabilities. ATI is the largest producer of qualified plasma arc melted titanium alloys used for jet engine rotating parts. Plasma arc meld is often the preferred process for titanium alloys used in jet engine rotating parts as well as complex titanium alloys. ATI has the most powerful combination of open dye pressed forge and radial GSM forge in our industry, which enables industry-leading fine grain structure in complex nickel-based superalloy billet and the billetizing of powder alloys. Finally, ATI is one of only two independent and integrated qualified producers of nickel-based superalloy powders and isothermic forged parts. Turning to slide 12. Now that the ramp to the next generation jet engines has begun we can provide another key metric to ATI's differentiation and growth. Here we provide four differentiated mill products that will be used in a significant way on the CFM Leap and Rolls-Royce Trent XWB jet engines. The nickel-based alloys listed on this slide are ATI differentiated since one is a ATI proprietary alloy, one is a Legacy alloy, yet we are the only supplier capable of meeting the required properties and large billets. One is exclusive to ATI under a long-term agreement and one product is supplied by either ATI or one other supplier. These mill products are generally forged into parts through either the hot die or isothermal forged process. We use the allows at our ATI Forge products business and sell the milled products to other forgers who have technical and qualified manufacturing capabilities to produce the required parts. As we have said, mill products lead the production ramp by about 12 months. The first growth spurt for these differentiated mill products is evident in the 40% growth rate experienced in the first half of this year, compared to the first half of 2015. Total sales from these differentiated mill products, which was over $80 million during the first half of 2016, will grow in line with the next generation jet engine bill rate, for a prospective $80 million in sales for the first half of this year would rank as a top five customer of ATI. We are seeing aerospace growth early because we supply significant amount of next generation mill products into the supply chain. In addition, we won a significant number of forging and castings that are new to ATI for legacy engines. And we've also won a significant number of next generation jet engine forgings and castings. As we have said, the 300 new parts that we were awarded are secured through long-term agreements we have in-hand that are expected to generate over $1 billion of new business for ATI from now through 2020. Our forging asset utilization used to produce forged products is expected to continue to improve as these parts are produced in longer forging runs. As the demand for jet engine forged parts continues to grow, the loads on or utilization of our hot die and isothermal forging assets increases and efficiencies improve. Turning to slide 13. For ATI, structural changes are occurring in the aerospace industry that we help enable and lead. First, as depicted on this slide, the titanium content on next generation air frames is growing. Compare the legacy Boeing 737 at roughly 4% titanium content to the Boeing 737 MAX at about 12% titanium content. While these numbers are estimates, they provide a sense of the growing current and future need for titanium alloys from the air frame market. Second, as seen in slide 14, both the jet engine and the single alloy jet engine firm order backlogs set new records in May. According to Aero Engine News, the CFM Leap engines firm order book was 10,108 engines at the end of May. There are now 17,208 single al engines on firm order, a new industry high. While CFM and Pratt Whitney already have large backlogs, there are still 2,145 single al aircraft without engine selections. That equates to 4,290 engines. In a recent update on the Leap engine last week, GE said that they surpassed 11,000 Leap engines committed. GE also said they are forecasting to deliver 110 engines this year, building to 1,900 engines by 2019. No matter the OEM build rate, this jet engine backlog represents a significant growth opportunity for ATI. We see a five-year surge, with 2018 being the OEM delivery inflection year. The OEM 2018 delivery year is our 2016 shipment year for mill products forging and castings in most cases. We also see strong next generation spare parts demand beginning late this decade and running for the life of the program which is 20 to 30 years. Turning aside 2015. ATI is a leading supplier of specialty materials, parts and components well positioned to benefit from this unique aerospace cycle. We expect significant profitable growth over the next five years from the new jet engine and air frame programs. We have differentiated products plus enabling technologies and capabilities and most importantly we have made the capital investments needed to support this growth in demand and we have won long term supply agreements with our strategic customers that include significant share gains. In our high performance materials and components segment, our focus is to execute on the opportunities we have and continue to improve our business processes and cost position. We are focused on profitable growth opportunities to fill the capacity that we have as a result of continuing weak demand from the oil and gas and construction and mining equipment markets. For our Flat-Rolled Products segment, we are focused on executing our right-sizing strategy and returning the segment to sustainable profitability as quickly as possible. We can accomplish this by focusing on differentiated products, continuing to reduce our cost structure and streamlining our business processes and limiting our exposure to commodity products which are profitable. In summary, we will continue to focus on the opportunities and challenges within our control and take all necessary actions to return ATI to sustainable profitability as quickly as possible while we execute our strategy to fix the Flat-Rolled Products business, grow our High Performance Materials and Components business and position ATI for sustainable profitable growth. In our High Performance Materials and Components segment, we expect to increase the pace throughout our operations, driven primarily by commercial Aerospace and we expect segment operating profit as a percentage of sales to achieve low double-digit levels in the second half of the year. In our Flat-Rolled Products segment, our first half 2016 results reflect the ongoing rightsizing and restructuring activities. The segment and the management teams are making progress towards achieving profitability. While we expect a further reduction in operating losses in the third quarter compared to the second quarter, the third quarter result, Flat-Rolled Product results, are expected to be impacted by higher maintenance expenses, including planned equipment upgrades in our finishing operations. We continue to expect the Flat-Rolled Products segment to be modestly profitable in the fourth quarter of 2016. Our focus is on sustainable, profitable growth, strengthening our balance sheet and rebuilding ATI's liquidity and financial flexibility to create long-term shareholder value. Operator, may we have the first question, please?
Operator: Yes. Thank you. We will now begin the question-and-answer session. And first question comes from Richard Safran with Buckingham Research.
Richard T. Safran - The Buckingham Research Group, Inc.: Rich, Pat, Dan, good morning.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Good morning, Rich.
Patrick J. DeCourcy - Chief Financial Officer & Senior VP-Finance: Good morning, Rich.
Richard T. Safran - The Buckingham Research Group, Inc.: First I have a question on the aftermarket. And, Rich, your comments about spare parts demand. Despite an increase in the installed base of used aircraft, we haven't seen really much of a pick-up in the aerospace aftermarket. Awhile back you were talking about destocking. That seems to have run its course. Is the lack of demand due to better diagnostics? Is it something else? If you could talk to the best you can about how you're looking at growth in the aerospace aftermarket as well. And maybe if you can to how that's going to trend next year.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Yeah, Rich, I think I've said before that I think that what's driving the current market and demand growth is really not aftermarket. It's the new builds. I think we see the products that we make are really supporting either the new engine builds or the aftermarket. So, at times, it's hard for us to differentiate. We listen to our customer. And I think the jet engine customers are saying that the growth rate in aftermarket is in the low to mid-single digits. That's by historical stands, that's probably lower than what it normally has been. But it's point and cycle specific, right. The big driver in aftermarket demand is more single aisle than it is double aisle. It's the shorter range. It's the stresses on the engine, the rotating parts, which is the take-off and the landing, not necessarily flying hours. So I think that the cycle will take care of itself. The growth in demand will be there. In some cases, depending upon where those airplanes are being flown, I think that in some of the parts they're actually seeing maybe a shorter life of where we are, of what they expected. So you're seeing some higher spare growth, but I think overall for this year and probably for next year, what's really going to drive the commercial aerospace market is new builds.
Richard T. Safran - The Buckingham Research Group, Inc.: Okay. Thanks for that. And just shifting now to cash flow, I want to see if you – a bit of a multi-part question here. So for next year, could you discuss a bit about how much of a working capital benefit you're expecting? Rich, would you be willing to put some numbers around what you're thinking about for free cash flow for next year? Maybe a range? And also in cash deployment, I know you're near-term priority is paying down debt. Just wanted to know where you think the optimal debt cap ratio is. And also if you could discuss how you're thinking about buy-backs, dividends or M&A since you'll be generating cash.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Yeah, well there is a lot of elements to your question there, so I'll have Pat add at the end here on that. I think obviously as we look at 2017 and really beyond, we do expect to see earnings growth improvement. We do expect to see – so that will generate cash flow. We do expect to see a significant reduction in CapEx. We expect our CapEx for the next several years to be below annual depreciation, so that will generate cash flow. The managed working capital demands will be driven largely by the volume and the growth in demand of the products and support of the profitable growth. I think part of what we see on managed working capital is what are the fluctuating costs of raw materials, and how does that flow through our manufacturing process. But I think in total the managed working capital, we expect and we target managed working capital as a percentage of annualized sales on a longer term basis not at a quarter point in time but on a long-term basis, to start with a three not with a four. So it's somewhere in the range of 30% to 35%, and I think historically when you look at our business we've been able to do that over an extended period of time. So I don't expect managed working capital to be disruptive or a takeaway over a longer time period from the cash that's being generated by improved earnings. So then you get into the aspect of well when you're going to generate this free cash flow, how are you going to deploy it, right? And fundamentally, we do have obligations. We have pension funding obligations that are longer than just 2016 and 2017. And we disclosed that in our SEC filings. So that becomes a very important part of what we're going to have to do going forward. And we don't have any near-term debt obligations. But we do have the $100 million term loan that was added to the ABL facility that will be paid off and has to be paid off at some point in mid-2017. So when you put all that together, our strategy fundamentally is to improve the strength of the balance sheet, improve the liquidity and the financial flexibility of the company, and return ATI to an investment-grade credit. I believe that that's very important for a company like ATI. We should be an investment-grade credit. And we believe, I personally believe, that, that is in the long-term best interest of our shareholders for a company like ATI to be an investment-grade credit. So all of that will be taken into account in terms of how we deploy cash and how we work with our board in terms of the smart and appropriate way to deploy the free cash flow that we expect to generate. Pat, you want to add to that?
Patrick J. DeCourcy - Chief Financial Officer & Senior VP-Finance: The only thing I would add to that is in the second half we expect managed working capital to contribute to cash flow. There will be a reduction in the second half of 2016. As you go into 2017, as Rich said, you have higher nickel values and some other things going on and our business is ramping significantly next year. So we'll have increased sales and increased operating activity. So we don't look for a significant contribution from managed working capital in 2017.
Richard T. Safran - The Buckingham Research Group, Inc.: Thanks, gentlemen. Appreciate it.
Richard J. Harshman - Chairman, President & Chief Executive Officer: All right, Rich. Thank you.
Operator: Thank you. And the next question comes from Gautam Khanna with Cowen and Company.
Gautam Khanna - Cowen and Company, LLC: Thanks. Good morning.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Hi, Gautam.
Gautam Khanna - Cowen and Company, LLC: I'm wondering if you could, hey, guys. I was wondering if you could comment on where things stand on the HRPF partnership talks and if you have any sense of what form it might ultimately take, whether it's an equity investment or a conversion agreement? Or any color there would be helpful.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Yeah. Well I don't think it's really appropriate for us to get into specifics. Needless to say, we are having some discussions. I think that there is, I know, that there is interest in the capabilities of the HRPF. It is doing everything that we designed it to do and that it set out to do. And the one challenge that we have, obviously, is we're not putting enough volume across that to realize the full capabilities of the size of the investment. I do, we are seeing significant, and we'll continue to see meaningful contributions of the HRPF. Not just in terms of expanding the product profile that it can make of differentiated products. But there are significant cost savings that we're beginning to realize and see by using that to, for example, break down ingot, both titanium and nickel, alloy ingot, break it down on the HRPF as opposed to either going outside or doing things on older assets. Those are significant annualized cost savings at our reduced volume level because we've idled the grain-oriented and a lot of the commodity stainless. We're obviously seeing productivity gains, the productivity on stainless alloys is at three times the level that it was on our hot strip mill. The quality costs are significantly lower, which they should be. That's how the asset was designed. The maintenance expenses are significantly lower because we're dealing with a much newer asset. So all of those advantages that we see I think others see as well. And that drives part of the discussion. So how and what shape it takes really is the subject of those discussions, right. What's in the best interest of ATI? And what's in the best interest of the other party? And I think that our thinking is that we will be flexible and open-minded in terms of the approach that gets taken. And there are additional alternatives. And when we work through that and when we have something more specific to say, we will say it.
Gautam Khanna - Cowen and Company, LLC: Okay. Rich, I was hoping you could also elaborate on your comments about the Rowley facility and some of the ways you're looking to reduce the cost drag. What specifically are things that you're contemplating? And secondly, if you could just comment on what you think the jet engine sales growth rate will be next year, given that it's already been quite strong this year. I think it's similar to what you guided, mid-teens growth. What do you think it will be next year?
Richard J. Harshman - Chairman, President & Chief Executive Officer: Yeah. Well I think when you look at the one chart that we showed, you see an even more significant ramp from 2016 to 2017 and then 2017 to 2018. So assuming all those engines get built and looking on the jet engine side, looking at the profile and the content that we have I think you'll see a more significant growth in 2017 than we're seeing so far in 2016 on the engine side. As it pertains to Rowley, what we're looking at is several different alternatives that I don't want to get too specific on at this point in time. But really, the fundamental issue is the drive it in and then how do we get the most cost effective titanium raw material units? Because that's what this is all about, right? Rowley produces sponge which we use to make products out of, so it's a raw material. And our people in that facility have done a great job. Since that facility was completed and went through the journey of achieving PQ quality, I can't say enough about the attitude and the effort and the commitment of the people that we have at the Rowley facility, along with the leadership of John Sims on the executive side, but we have to look at what's the right decision for ATI to make in terms of getting the most competitive titanium raw material units as we can get and that's what we're currently evaluating. Can we adjust the production volume more, either up or down? What's the right decision to make? And we're in that process and when we make that decision, which isn't very far off, we will elaborate on it at that point in time.
Gautam Khanna - Cowen and Company, LLC: All right, thanks a lot. Good luck guys.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Thank you.
Danny L. Greenfield - Vice President, Investor Relations and Corporate Communications: Thank you.
Operator: Thank you. And the next question comes from Kevin Cohen with Imperial Capital.
Kevin J. Cohen - Imperial Capital LLC: Good morning, and thanks for taking the questions, helpful commentary. I guess as it relates to HRPF, I know the company had previously talked about an operating profit belt of between $150 to $250 million. I'm wondering if that is still the case or if that range has been tightened up at all?
Richard J. Harshman - Chairman, President & Chief Executive Officer: Yeah, I think that certainly at the upper end of the range and even at the $150 million that was driven largely by volume increases remaining in the commodity stainless steel business and in the GOES business, and obviously we've idled that. I do think that we would be trending certainly more towards the lower end of that and it's a combination of significant cost reduction, significant improvement in manufacturing cycle time which lessens a negative impact when raw material costs are volatile and certainly fluctuate downward. That hurts our P&L because the surcharges end up being lower than the costs of the raw material that we melt. So the HRPF is a big accelerator in terms of manufacturing flow path. And more importantly, it's products that we can make on the HRPF that we couldn't make on the hot strip mill. And those are all differentiated products. It's the wide nickel; it's titanium. It's some of the higher end specialty alloys that are serving global markets, including aerospace. So I think it's still over time. It's certainly more towards the lower end of that range, and it will be a gradual build rate over the next two to five years to achieve that.
Kevin J. Cohen - Imperial Capital LLC: And then turning to the other segment in Flat-Rolled, can you give us just a little bit more commentary about how operating profit progressed during the quarter? You did mention it got progressively better. Just wondering what the exit was at the end of the quarter in June. If you can have any additional color on that.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Yeah. Well, June was certainly better than April. You're talking Flat-Rolled, right? You said Flat-Rolled? Or did you mean High Performance?
Kevin J. Cohen - Imperial Capital LLC: Just Flat-Rolled. The other segment, Flat-Rolled.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Just Flat-Rolled. Yeah, no. I think when you look at the segment result there of $32 million, we were getting much closer to a break even in that business in the June timeframe than we were in April. So it was more heavily weighted towards the first half of the quarter. And we would expect the same thing in the third quarter as we flow through some of the higher cost raw materials that are still there, that are still lower – the surcharge is still lower – than what the cost it was melted at. And we flow through some of the unfavorable variances that were capitalized in inventory. So I think as we exit the third quarter, it will be in support of the fourth quarter achieving modest level profitability in the segment.
Kevin J. Cohen - Imperial Capital LLC: And then if I could sneak in just a third one really quick. Pension. Can you remind us the incremental funding and the timing of that as you look ahead to next year?
Patrick J. DeCourcy - Chief Financial Officer & Senior VP-Finance: We're looking at a contribution around the January timeframe of around $135 million which would complete our total of $250 million. And that should, given all the other assumptions staying the same, should take care of our liability for 2017.
Kevin J. Cohen - Imperial Capital LLC: Super helpful. Thanks so much and continued best of luck.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Thanks, Kevin.
Operator: Thank you. And the next question comes from Timna Tanners with Bank of America Merrill Lynch.
Timna Beth Tanners - Bank of America Merrill Lynch: Hi. Good morning, guys.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Hi, Timna.
Patrick J. DeCourcy - Chief Financial Officer & Senior VP-Finance: Good morning, Timna.
Timna Beth Tanners - Bank of America Merrill Lynch: Okay. I'm going to ask a stereotypical metals and mining person question, and then I'm going to ask one on aero from Ron's suggestion. So given higher nickel price outlook and the stainless trade case but also your lessened exposure to the commodity side, can you remind us how to think about the impact of higher stainless and nickel prices read-through through the products that you still make?
Richard J. Harshman - Chairman, President & Chief Executive Officer: Yeah. Well, we're still targeting about 100,000 tons of – annually of commodity stainless sheet, so that's basically about a third of what we used to be, right? And the majority of that is austenitic rather than ferritic, so it will – we expect at 100,000 tons that's about $200 million in revenue. Obviously nickel moving upward and you understand how that works and the surcharge mechanism and everything, that's better than nickel moving downwards, both in terms of timing of the surcharge, as well as in the component of the surcharge. It also has – will have a – we've announced significant price increases on a differentiated product, precision-rolled strip, which you won't see much of a benefit in 2016 because most of the business is on contract. But the price increases are out there in terms of supporting the contract renewal and negotiation and supported through 2017. So I think we've always said that on balance we would prefer nickel being more stable than volatile. I do think that because of how the surcharge mechanism works that nickel – when nickel is below $6 a pound it's still not as attractive as it would be from a pricing and a margin standpoint on the commodity products when it's above $6 a pound. And then there is a tightening of the scrap market as well. I think scrap the discount to the LME of scrap today is less than it has been in probably a couple of years. So that's kind of a governing impact on the margin opportunity on stainless. But as I said, when we look at that stainless business, that 100,000 tons, we're looking at it from the standpoint of what's the level of profitability on a pre-tax basis with all appropriate costs allocated, and not just on a contribution margin basis. And we're also looking at a cost structure that with a base price of $0.50 a pound we still haven't deviated from that, right? At a base price of $0.50 a pound, we have to make pre-tax profit on commodity products with a base price of $0.50 a pound. So I think the momentum on the stainless side is favorable. It's certainly probably the best that it's been in quite awhile. As we head into the second half of 2016, the third quarter, Timna, as you know, is always traditionally if there is a seasonal quarter in the business, it's kind of the third quarter. But I think the other positive aspects of what's gone on with nickel, with base prices being better now than they were certainly at any point in the second half of 2015, and really better than they were at the beginning of 2016, those are all positives and are factored in to the comments that we make about the profitable improvement of Flat-Rolled.
Timna Beth Tanners - Bank of America Merrill Lynch: Okay. Cool. Before I ask the aerospace question, on the auto side, I was intrigued by your comment about a secular shift there to more nickel-based and specialty demand if we do think that auto is nearing a peak volume-wise. Are you saying that you could continue to see stable to growing contribution? Is this going to be very material or just incremental?
Richard J. Harshman - Chairman, President & Chief Executive Officer: No. I think it's, I do think we will see a continued increase even, I agree with you, that the total auto build rate probably is at a peak. But I think this is a material substitution change, if you will, going into some of these higher nickel alloys because much for the same reasons on the jet engine side, right. Operating at higher temperatures you need alloy systems that are more capable of operating in that kind of an environment. And they're being specked in. So I think that we view it as a differentiated product. We do view it as a growth driver going forward, even with the possibility of less cars being made. The other thing that's happening is you're seeing the same secular shift going on in Europe, right, with the build rate on autos in Europe and also in China, right. So we have our STAL joint venture in China, and that expansion will be underway here as we work through the government approval process to expand the STAL facility. And one of the markets that the expansion is designed to support is the growth in these kind of materials in the automotive build rate in China.
Timna Beth Tanners - Bank of America Merrill Lynch: Okay. If I could then on the aerospace side, the concern that Ron voiced is that some of the suppliers are saying that Boeing is not paying on a timely basis and has been a bit delinquent. We know that they've been a bit challenged in terms of profitability, or at least that's his view. I was just wondering if you could give us any updated thoughts on the Boeing situation, about your ability to get paid on a timely basis.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Yeah. Well we had this question at the air show. And we have no problems and no concerns with being paid from Boeing. As a matter of fact, when I look at – we spend a lot of time looking at the risk profile obviously of customers and collections because at the end of the day a sale really isn't a sale until you get paid. And I can tell you with a high degree of confidence not only today but for all my career, the one end market that you worry the least amount about is aerospace. And Boeing is paying within their terms as they always have.
Timna Beth Tanners - Bank of America Merrill Lynch: Okay. Great. Thanks.
Operator: Thank you. And the next question comes from Jorge Bernstein with Deutsche Bank.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Hey. Good morning, guys.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Good morning.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Good morning. I was just trying to get a sense of what your normal run rates are going to be going forward for your standard grade Flat-Rolled Product. I mean we did see quite a sequential jump there. I'm just trying to understand, is that – You mentioned in your press release there was some sort of an impact from the employees returning back to work but were you clearing out inventories, or could we expect a slightly higher run rate going forward in the standard product?
Richard J. Harshman - Chairman, President & Chief Executive Officer: Yeah. No, I think as I said earlier, I think when we look at the standard product which is more commodity stainless sheet at this point, we think there's a market opportunity there for about a 100,000 tons for us. So if you think about what that means from the standpoint of the total volume of Flat-Rolled Product sales it's around 30%. So the rest of the product would be more differentiated. It would be plate, specialty plate, higher alloy and differentiated sheet product including nickel and titanium precision-rolled strip product, a more engineered strip product, etcetera. So I think in the second quarter you saw a significant improvement in volume as our represented employees came back and we got the finishing facilities ramping back up. The materials started to flow better and we built on that. As we were exiting the second quarter, we continue to build on it here in September in terms of getting product out. And whether you'll see the same total volume of shipment in the third quarter as the second quarter is somewhat dependent upon the market demand, because as I said the third quarter traditionally is a weaker quarter on a seasonal basis. But I think the progress that you saw in the second quarter we would continue to build on in the second half of 2016.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Well, maybe if I could just clarify. We just talked about tons. You just said that your guidance for that type of product is about 100,000 tons per year. You did 30,000 tons in first quarter, jumping up to 77,000 tons in the – sorry, 47,000 tons in the second quarter. So first-half is 77,000. Your full year guidance is 100,000, so I'm just trying to understand is there other product that is comingled in there? Or...
Richard J. Harshman - Chairman, President & Chief Executive Officer: Yeah. There is. Yeah here is. When I talk 100,000, I'm talking the standard, the standard stainless commodity sheet. The other thing that's in that number that you quote is strip and some other product, so yeah. And if you have any more specific questions, just give Dan a call and he'll work with you on the breakdown.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Okay. Thank you.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Thank you.
Operator: Thank you. And the next question comes from Chris Olin with Rosenblatt Securities.
Chris Olin - Rosenblatt Securities, Inc.: Hey. Thanks for taking my call.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Go ahead, Chris.
Chris Olin - Rosenblatt Securities, Inc.: Could you provide us with an idea on what your titanium mill lead times look like? I guess how far are you booking into 2017? I guess to add on to that, right now how would you characterize titanium inventories within the frame channel? I know historically there's been a lot of excess material in the channel which has caused these like lumpy order trends, and I'm wondering if that's changed at all?
Richard J. Harshman - Chairman, President & Chief Executive Officer: Yeah. First of all, most of our titanium business is contracted, Chris, under long-term supply agreements. So typically what happens is as we get into the late third quarter and early fourth quarter, the customers tell us what their load is going to be for 2017. But each of the contracts, I mean in some cases there are minimums; in other cases, there are shared percentages, so all that really gets settled out before the end of 2016. Needless to say, the capacity is there, obviously, to support what the intent was under the long-term supply agreement. I think the bigger issue is more the transactional-orientated business, right, which is what I think is more relevant to your question. That's a much smaller piece of our titanium business, and we're booking in some case, depending on the product form, we're booking into the fourth quarter from a lead-time standpoint. In other cases, we're still booking into the third quarter. I don't think on the transaction business anybody at this point in time would really be looking at 2017 at this point. That's just not how – that's not where the lead times are anywhere, and that's not how the process works. I think that our view on the titanium side is that inventories are being managed very tightly on the transaction business side which is more service center oriented, right? And I don't think that anybody – I think it's safe to say that they're being conservative in terms of what they ordered primarily because the lead times are still supportive of a conservative bordering approach by them. I mean, if lead times were elongated then they would probably be quicker to get in line. Part of the reason why lead times are still relatively short is that you have very weak demand from the Industrial Markets so everybody that really participates from a mill product standpoint in titanium is not fully dedicated to just aerospace. I mean there are other end markets including medical and industrial that supports that and the industrial demand is very weak. So as we look at that and we don't really expect that to improve in any meaningful way over the next 12 or 18 months. We look at that and say where is our capacity utilization and where do we have some higher cost titanium assets and do we want to run those assets or do we want to look at them a different way? And we're in the process of doing that.
Chris Olin - Rosenblatt Securities, Inc.: Just as a quick follow-on. I thought I saw Uniti volumes were pretty strong for the quarter and I was just wondering if there was anything behind that given kind of what you're thinking on the industrial side of the markets.
Richard J. Harshman - Chairman, President & Chief Executive Officer: No, I think that some of its project related, right? So it's always lumpy. I think that a large part of that demand is really – a significant part has really come from the U.S. market, right? As opposed to the more traditional international markets. I think pricing is still extremely competitive on any project because the asset utilization not only by the U.S. suppliers but also the international suppliers, be it from Japan or Korea. The US obviously – when I say US I mean the Uniti assets which are really a combination of VSMPO and ATI. So I think the capacity availability is there which keeps a lid on pricing. At the lower end pricing is really pretty nasty and quite frankly Uniti doesn't participate at those levels, right? So I think Uniti is being very selective in terms of which projects and how we participate. And we'll continue to do that because we're focused on it, not from a volume standpoint, but from a profitability standpoint.
Chris Olin - Rosenblatt Securities, Inc.: Okay. Thank you, Rich.
Richard J. Harshman - Chairman, President & Chief Executive Officer: Okay. Thank you.
Richard J. Harshman - Chairman, President & Chief Executive Officer: All right. Thank you very much for joining us on the call today. And again, as always, thank you for your continuing interest in ATI.
Danny L. Greenfield - Vice President, Investor Relations and Corporate Communications: Thank you, Rich. And thanks to all of the listeners for joining us today. That concludes our conference call.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.